Operator: Good day ladies and gentlemen, thank you for standing by. Welcome to the GSV Capital First quarter 2014 Earnings Conference Call. During today’s presentation all parties will be in a listen-only mode. Following the presentation, the conference will be opened for questions. (Operator Instructions) this conference is being recorded today May 8, 2014. And I would now like to turn the conference over to Kristen Papke, Investor Relations for GSV Capitals. Please go ahead.
Kristen Papke: Thank you for joining us on today’s call. I’m joined today by Michael Moe, GSV’s Founder and CEO; and Steve Bard, the company’s Chief Financial Officer. Please note that a slide presentation that corresponds to today's prepared remarks by management is available on the company’s website at www.gsvcap.com under Investors Events & Presentations. We are also live tweeting segments of this earnings call via the Twitter handle@gsvcap. Today's call is being recorded and webcast on gsvcap.com. replay information is included in our press release that was issued this afternoon. This call is the property of GSV Capital Corp and the authorized rebroadcast of this call at any form is strictly prohibited. I would also like to call your attention to customary disclosure in our press release today regarding forward-looking information. Statements made in today's conference call and webcast may constitute forward-looking statements which relate to future events or future performance or financial condition. These statements are not guarantees of our future performance, condition or results and involve a number of risks and uncertainties. Actual results may differ materially from those in the forward-looking statements as a result of a number of factors including those described from time to time in the company's filings with the SEC. Management does not undertake to update such forward-looking statements unless required to do so by law. To obtain copies of GSV Capital's latest SEC filings, please visit the website at gsvcap.com. I would now like to turn the call over to Michael Moe. Michael.
Michael T. Moe: Thanks Kristen and good afternoon. I'm going to begin today with a review of our portfolio as of March 31, 2014 and recent key developments. Then Steve Bard will provide a brief financial overview and we'll take your questions. So, let's start with Slide 3. I’m pleased to inform you that net assets totaled 288 million or $14.91 per share as of March 31, 2014 which despite the tumultuous market environment is unchanged from the $14.91 per share reported as of December 31, 213. Twitter our largest position at 28% of NAV was $22 million since December 31, but this was offset by positive appreciation in companies such as Palantir, Dropbox and 2U, which are second, third and fourth largest positions respectively. Additionally we sold shares of Facebook and Control4 resulting in a $7.4 million of net unrealized gains. Overall the portfolio is performing very strongly with average revenue growth of our 52 investments up over 90% year-over-year. While its very frustrating for everybody to have a stock price fall, we have confidence based on 25 years of experience that ultimately the stock price will correlate with the fundamentals of the business and as I mentioned the fundamentals of our portfolio are robust. Given the significant discount of GSV share price $14.91 NAV and strong fundamentals our board of directors has authorized the repurchase of as much as 10 million of GSV Capital Corp’s common stock over the next 12 months. We have also said historically that it’s our intent to monetize public positions at the earliest appropriate time. So they were going to even be more specific, its that’s our intent is that our intent is to liquidate a position within 18 months of going public, but 12 months after the lock up is expired. Additionally to be clear we intend to pay dividend to the extent we have cumulative net realized gain. For the first quarter, our top 10 positions represents 80.5% of net asset value, which is virtually unchanged for the fourth quarter. Our three large investments Twitter, Palantir and Dropbox represented just over half of NAV at 51.4%. Chegg moved into our top 10 positions, after we made a follow-on $5 million investment in the first quarter. In total we made final investment in six companies. New to our portfolio in the first quarter were Lyft, EdSurge and General Assembly. Our $5 million investment ride-sharing service Lyft was part of the $250 million recent growth round which is lead by Coatue Management, Third Point, and Alibaba. Existing investors Andreessen Horowitz, Founders Fund, and Mayfield also participated. We believe that Lyft is on the forefront of the Sharing Economy trend and is totally disrupting traditional transportation. While Uber is the leader in black sedan transportation. Lyft more like an Airbnb is where regular people share ride and we think is ultimately a market that is potentially much larger. Our investment in General Assembly, was part of our $35 million dollar round led by IVP. General Assembly is a rapidly growing global community of individuals who participate in immersion programs that teach the most relevant 21st Century skills such as software development and coding, it’s essentially a fishing school for Ivy-League. Turing to slide five, subsequent to March 31, we closed on investments totally $11.8 million in six companies, so far. Declara is a investment we’ve made recently in a social collaborative learning platform driven by big data analytics and is a company that we’re quite excited about and we’ll talk about later in our remarks. This leverage is our expectations social media, learning big data, Declara is an intelligent social learning platform that connects large numbers of people to enormous amount of content in an efficient easy to use manner. Declara offers what no other data analytic or social sharing platform can, because it observes how people learn and just accordingly. We were joined in our investment in Declara by Peter Thiel, Founders Fund, and Data Collective and Catamount Ventures. We also recently sold more shares in Control4, as well as our remaining positions in Violin Memory and most of our positions in Silver Spring Networks. Please turn to Slide 6, to take look at equities and IPO our market today. So year-to-date, the S&P 500 is at 1.5% and the NASDAQ down 3%, but I don’t think this is really reflects what’s going on over the last couple months in the overall growth economy where we’ve seen much more significant corrections thus far. From a fundamental standpoint you have about 80% of the S&P 500 has reported their first quarter earnings, and earnings are up slightly better than what was projected up about 4.5%, revenues were slightly below what was projected by analysts at about 2.6% growth, but I think when you look at the – ironically when you look at the suburb growth comp was like Twitter, Yelp and LinkedIn, all reported strong revenue growth number last week, but the market remains in a very far moon, choosing to focus on extenuating the small negatives as appose to the multiple positives. This is consistent with season we are in right now where all news regardless or realty is viewed as bad news, it’s a type of environment where it’s better to not announce anything because we made investor to hold the stock with subsequent selling. We’ve experienced these sentiment storms many times before and the best way to weather is to keep your heads calm while others panic. Moreover, where environment growth scares and interest rates are low. Economic 101 says that premier growth stock should be more valuable at times like this not last, ultimately we take comfort knowing that over time fundamental stock prices in the meantime, we can buy some of the best growth companies in the world, while there are sale, which includes our own. So, when you look at the IPO market, it’s not a surprise to see that it’s cooled off significantly in the past 30 days 50% of all IPOs price below the fallen range and 86% of tech IPOs have brought issue price 91% of all IPOs are trading below where they have traded in their first day. This action should be expect what’s taking place with growth stocks in many ways is healthy to give a pause or could run a risk getting overheated. Unlike, what we seen in previous growth melt off, evaluation pressure have of course funded with the slow down of fundamental effect as I mentioned with the previous examples, the opposite is true. So while our crystal ball isn’t there than anybody else is we would expect the correction to be shorter in duration and a better IPO market to resume when that occurs. So turning to page seven – slide 7, we talk about the portfolio mix across the growth teams that we are investing as of December 31. So look at the slide you can see the Social Mobile consisted 25% of our investment capital, cloud and big data is 27%, education technology is 30%, internet commerce is 9%, and sustainability is 9%. I also want to mentioned briefly that we held our Fifth Annual ASU+GSV Education Innovation summit in Scottsdale last month, where we had over 2,000 people at the summit, and 230 of the leading education technology companies in the world presenting including 18 of our portfolio companies, and we had notable keynote such as Jeb Bush, Laurene Jobs, Magic Johnson, Lou Holtz, Secretary of Commerce, Penny Pritzker; CEO of Netflix, Reed Hastings all at the summit. I mentioned this in part to just show the momentum and interest in this marketplace, which supports in some degrees our enthusiasm, and 130% of the portfolio is in these exciting names, but also, in terms of the summit we think, there is a strategic advantage for our shareholders in that. It really puts us is a position to access the leading companies in the space that as got many of the top investors in the world increasingly focused on. So, we think this is an excellent asset; it’s going to build great value for us over time. We would like to replicate what we’ve done in education in the important areas for us, big data and sustainability over time. I am also like to announce and glade to announce that the Board of Directors has named Mark Flynn, President of GSV Capital. Mark will remain on the board of directors, and Mark is somebody that who has got the long-term reputation in Silicon Valley and he has been important person for a number of years and we are very excited to have Mark in this position. As we’ve done in the past, we focused on one key area that we focused on cloud computing and big data is the area that we are going to talk about today. As I mentioned before, it comprises 27% of our overall portfolio, so it’s obviously an important and significant area for us. And what I would like to do is if you turn to the next slide, I’m going to help Mark talk about our investment – some of our investment in the cloud computing and big data space as Mark is purely in our efforts in this important area. Mark?
Mark W. Flynn: Hey, thanks, Mike. Let me lead off with just a comment, I think our second largest position is Palantir. And a number of years ago for making that investment we executed a non-disclosure agreement, so we wouldn’t comment on the company publicly. Though there’s a terrific cover story written in full poor plus fall, but I think would clearly explain the business and their model and their strategy. So Palantir represents a fair value of $42 million, roughly 14.7% of our existing portfolio. If I have you move on to Slide 8, Dropbox is a company we’re very excited about it, it’s a leader in the premium model, which basically allowed people to store their files anywhere from any device or any platform. What’s exciting to us is if you think back to July of 2013, they announced a phenomenal user phase of 175 million individuals using Dropbox. In April last month, they announced there were 275 million users and four million enterprise customers. These are customers saving hundreds of millions of files every year on their platform from our advantage point growing the customer base by 100 million over the past nine months is running short of phenomenal. Also in the past quarter, Dropbox continued their strong momentum raising roughly $350 million of equity and announced a $500 million credit facility as well as announced that Former Secretary of State, Condoleezza Rice was joining the Board. Dropbox is a world-class syndicative investors were delighted to be included along with sides of some of the best venture firms including Sequoia, Benchmark, IVP, Greylock and many of the great institutional investors such as Tivo, Price, Goldman Sachs and Blackrock. As of March 31, Dropbox is the third largest position of portfolio roughly $25.1 million or 8.7% of net assets. If I could ask you turn to Slide 9 we will speak about a company called Dataminr. GSV capital is introduced to Dataminr by the senior management team at Twitter. And Twitter basically explains that this is a leading player in Twitter’s Ecosystem. Basically Dataminr feeds off the Twitter Firehose and applies big data analytics to the information generated by the millions of tweets per day. Literally there are over 500 million tweets per day and Dataminr’s sort of deep algorithms extract the critical information collaborate the data and deploy it in real time to its customers. So who needs real time information? I would say every media organization clearly from such as CNN and others virtually every government agency domestically and probably in foreign environment as well. Wall Street Money Managers obviously are people who are interested in the real time information. So the list goes on and on we think the applications are broad and far and it’s just an extraordinary way to disseminate real time information on the platform using a platform that’s become ubiquitous. One interesting anecdote if you look back to the reporting of Osama bin Laden’s death, the Dataminr team was able to learn about Bin Laden’s death roughly 23 minutes before any other agencies reported it. And the region is they could extract from 19 different tweets in a five minute period. So they use their Linguistics and analytics and reanalyzing the metadata and confirmed the accuracy of the story. So a very exciting evolving application in the big data world we’re thrilled to be part of Dataminr’s team they grade roughly $49 million the other investors and Dataminr include Venrock and IVP. We’ve got a fair value of our investment at the end of March was $4 million. Turning to Slide 10, I am going to introduce a company called Silicon Valley Data Science. They are introduced to the company by fellow named Jim Sims who is a Founder of Cambridge Technology Partners. There is one of leading companies that saw a whole client server adoption and served literally 100s or most of the Fortune 1000. Jim spent sometime with us sharing his perspective on Big Data its application in the corporate market. And how he felt that was going to be even bigger than the client server opportunity. So just sort of a framework to think about it if relational databases today which is largely proliferated throughout, corporate IT capture about 15% of the available information in a structured format, that means today about 85% of the information is really unstructured and people are very seriously looking at how do we take all of this unstructured data and use to drive competitive advantage. So firms such as Silicon Valley data sciences are really addressing that issue and problem in applying some of the best technologies to serving large companies and our approach to building that team was to find the best of the best, so we went after the big data team at Accenture brought on board several of their leading data scientist and data architects and have assembled, a first rate team. We think it provides not only a terrific investment opportunity, window into what’s going on in corporate America and the adoption of these best engine technologies. Our investment in Silicon Valley data science’s is roughly $1 million. Lastly turning to Slide 11, Mike mentioned earlier to Declara a company we recently invested in, but it’s a could-based collaboration platform what’s exciting about the Declara solution is they use some search and predictive analytics that help organization solve complex problems and sort of instead of giving every person sort of this identical collaboration perspective Declara uses its predictive analytics to bring the right content to the write person in a right context, they bring it from a variety of sources and its gaining wide scale adoption very, very quickly, who would use it an example, we are involved with this large pharmaceutical company was really trying to shorten our drug delivery time and cost and they start this platform out is a way to faster innovation, traffic level organization, expedite the communication collaboration and ultimately drug development cycle. So, in the last month in April GSV led a financing round in participated with Founders Fund Data Collective in Catamount Ventures. So, in the snapshot the cloud computing and big data is very, very exciting growth area and GSV is extremely well positioned. As Mike mentioned roughly 27% of our portfolio is positioned in this sector today and we intent to continue pursued the best companies and partnered with the leading management teams. With that let me turn it over Mike.
Michael T. Moe: Yes, I’ll just ask this way, I turn it over to CFO Steve Bard, I want to let people know in conjunction with our annual shareholders meeting on Wednesday June 4, we are going to have first annual Investors Day from 1 clock to 5 Clock. And we are going to host this at nestGSV which is our portfolio company, which is incubator of over 70 young star businesses nestGSV is located in Redwood City, California and we welcome any shareholders, analysts, investors that have an interest and learning much more detail what we do GSV be introduced to some of our key portfolio companies. With that I’ll turn it over to Steve.
Stephen D. Bard: Thank you, Michael. Let’s turn our attention to Slide 12, and as Michael indicated our – are any of these for March 31 is $288 million, and $14.91 per share which is exactly where we left of on December 31. So let’s take a look at the changes that the three major components that they impact NAV and how that factored into the calculation. The first major component that we want to look at is the net realized gain on our investments which was $7.5 million or $0.41 per share for the quarter, and this gain reflects the sales that Michael had referenced, our shares at Facebook and Control4. The next major component of NAV that we want to look at in operating expenses those were $4.9 million this quarter or $0.25 per share. As a reminder the operating expenses include management fees, accrued incentive fees, cost incurred under our administration agreement, director’s fees, legal and audit fees, insurance, investor relations and also expenses associated with our credit and debt facilities. Again that translated to $0.41 per share. And the third component that we want to look at is unrealized depreciation on investments which represented about $3 million loss or $0.16 per share for the first quarter, and this was primarily attributable to the decrease in fair value of Twitter and our Facebook position for the quarter ended 3/31. So again when you combine these three major components net operating expenses, net realized gains, the net changed in unrealized depreciation there was no net change to net asset value per share, and so we remained at $14.91 per share for the period ended March 31. So thank you for your attention. With that I’ll turn the call over to the operator to start the Q&A session. Operator?
Operator: Thank you, sir. We will now begin the question-and-answer session. (Operator Instructions) Our first question comes from the line of Jeff Houston with Barrington Research. Please go ahead.
Jeff L. Houston – Barrington Research Associates, Inc.: Hey, thanks for taking my question. As you look to exit your Twitter position, should we expect it to be in a manner that’s similar to how you exit Facebook that is gradually a certain percentage over time or just few thoughts there? And then second quick question is when do you expect to file your 10-Q? Thanks.
Michael T. Moe: Sure, in terms of Twitter position, we have a game plan with the stock as we have with every position that we own. We believe today that Twitter is significantly under valued to what we believe its worth. And as the shares approach what we believe fair value is we look to exit the position and deploy it into new promising opportunities. I will make the point as – Facebook is exactly what we have with Facebook, we had a game plan, we had our analysis in terms of what we felt Facebook was worth and what catalyst were and how we played out different scenario, and as you mentioned, we’re still in a position with just a little bit remaining as it continue to rise. And so, in terms of filing their 10-Q, Steve?
Stephen D. Bard: Sure. That will be – well, it’s due Monday after the call, so it will be filed tomorrow on Monday, Jeff.
Jeff L. Houston – Barrington Research Associates, Inc.: Great. Thank you.
Operator: Thank you. Our next question comes from the line of Jerry Tang with ROTH Capital Partners. Please go ahead.
Jerry Tang – ROTH Capital Partners LLC: Hey, good afternoon. Any new verticals you think about expanding to as we head into the back half of 2014 ended 2015? And I guess applying that same metric to geographic regions kind of getting less concentrate in the U.S., any thoughts there?
Unidentified Company Representative: A couple of things. We’re constantly looking at mega trends growth themes, studying also we see going on in the growth economy, as well as what our leading VCs purpose start, because they’re often accrued to emerging areas bubbling up. One area that we have a significant interest in, but we haven’t made any material investments today is what we call the digital doctor. And looking at the mega trends of the digitization of the healthcare system, which is obviously, there is number of interesting opportunities that have developed in that space, but we think that’s going to be a huge area of opportunity for sometime to come. As it relates to investments outside of the United States are named GSV stands for Global Silicon Valley. And while we’re located in Silicon Valley, and Silicon Valley remains the heart of innovation with amazing opportunities in between San Francisco and San Jose. We’ll look to invest in the most promising growth companies anywhere, where we can find that we think that we have advantage to access here and can see the potential. With our structure we’re prohibited from investing more on 30% of our assets outside of the United States. To-date, we’ve made investments in Spotify, which is a company that’s outside of the United States. We’ve invested in a company called Sino Lending, which a Shanghai-based company that sort of the lending club of China. And we think that’s a really exciting company as you maybe familiar with lending club in China’s, you may have heard well, it’s interesting opportunities,, and again, we’re interested in the greatest opportunities we can find. So and they were constantly looking at themes that we think have legs, but thanks for the question.
Jerry Tang – Roth Capital Partners LLC: Thanks for taking my question.
Operator: Thank you. Our next question comes from the line of John Ray with [Kincel & Company] (ph). Please go ahead.
Unidentified Analyst: As of to-night, I think quarter is approximately 22% doubt from 28 at the end of the quarter and it’s still a very large position, I think contributes to the market discount to your net asset value. I would hope that you would recognize and begin to reduce that position?
Unidentified Company Representative: Yes, thank you. We – the size of total position – overall portfolios is good probably, because it represents the fact that we’ve had nice appreciation this year. We have a tremendous confidence in the long-term Twitter’s story in terms of the credit balance of the business. And, yes, as I said, we look at Twitter today it’s a public company as we said earlier in our statements, once the company is public, we’ll look to exit the position at the earliest appropriate time. We have also referenced that we’re looking at as a guide post to our investors of that period, should be within 18 months and again it depends where the shared price is. So we watched Twitter shares decline with the overall decline in many high growth names, but yet the fundamentals are extremely strong. And so with our experience to (indiscernible) is that ultimately fundamental the drive stock price and still we will be continue monitor that with the eye towards reducing that position, as we think it better fit to shareholders, but I appreciate that comment. Thank you.
Stephen D. Bard: This is Steve Bard. I would just add that our cost basis in Twitter is about $17 in change and so even in light of the downturn; we’re in a good position. Thank you for the question.
Operator: Thank you. (Operator Instructions) Our next question comes from the line of Christopher Nolan with MLV & Co. Please go ahead.
Christopher Nolan – MLV & Company: Hey guys thanks for taking my question. A quick question, the concentration between the various areas seems sort of shifted around since the last quarter, does this simple reflects like social media is down; big data is up, so that’s simply just reflect incremental investments as well as the change in value in Twitter?
Unidentified Company Representative: It’s a combination. I mean the Twitter investment is a meaningful. It was 35% on overall portfolio last quarter, down $22 million in value during the quarter at the same time companies like Dropbox and Palantir had finances done that were up from where they were in the previous quarter. We don’t – we absolutely one of the reasons we – we talk about the five teams and we talk about the – the representation within those five teams, because we look at that because we don’t want to be over weighted in anything that we – we look at this in a careful manner. The fact of the matter is what we really want is to access the best companies and big data; there is just an explosion of growth in opportunities in that space. And by the way, there are companies that we would have like to participate in and we feel proud of our bagging average of getting in the names that we focused on, but there is some major names in the big data and cloud area though we didn’t get in that we don’t like to. So we’re just looking for the best companies. We have an eye towards with the way we think the growth, best growth prospects. We have an eye towards not being over concentrated in any area, but we’re going to still focus on work we get access to the very best companies with the best growth fundamentals.
Christopher Nolan – MLV & Company: Great.
Unidentified Company Representative: When you see that shift does not so much strategic, but more of a reflection of what happened in the market...
Christopher Nolan – MLV & Company: Got it. Is it fair to say that these $7 million in realized gains was basically redirected to new investments?
Unidentified Company Representative: I mean – but I mean I think that – yes, Chris – yes. I think that’s the right way to think about it. The dollars are somewhat fungible but that’s the right way to think about it.
Christopher Nolan – MLV & Company: Okay. And then following up on the comment earlier in your prepared remarks, talking about maybe expectations of having realized gains, generate dividends for shareholders. Do you have any timing associated with that?
Unidentified Company Representative: Well, I mean, first of all that we – absolutely we would look at that at the end of the year, but there is a possibility that we could do that before that. And so we just have to – that’s something that we’re looking at carefully and some of that just fraction of – where certain monetization events are with certain portfolio positions that we have, but for sure something that by end of the year we would do if we have – if we have realized gains and it’s something that we could do in the interim if felt that was the appropriate thing to do.
Operator: Thank you. Our next question is from the line of Adam Gold with Espial Capital. Please go ahead.
Adam S. Gold – Espial Capital Management LLC: I want to ask about the management of the buyback, I’m very encouraged to see, do you guys are stepping up given the massive discount to stated book value. So first question is the logic behind the size of it given it sort of $10 million stocks (indiscernible) about a million shares out of 19 is about 5% to 7%, why not larger than that? So what was the logic behind the dollar size?
Unidentified Company Representative: Thanks Adam, a couple of things. One, we believe that our own shares do represent tremendous value and that’s meant to the indicated by stock buyback that – that we haven’t done before. We also think there is tremendous – the fact that what we think ultimately people are looking for us to do is to get into the next Dropbox in Facebook and Twitter and we want to make sure that we have the opportunity, particularly by the way as we’ve seen. I mean this is – on one-hand our stocks impacted, but it gives what the overall growth world has impacted and then if we can buy shares and companies that we think have potential to make manifold returns to our shareholders, we want to have the opportunity to that. And again just – what we’ve announced, we obviously would have the flexibility depend on what happens to – to meant that depending on what’s going on the market, what’s going on with liquidity, what’s going on with opportunities, and what we’re really focused on, Adam, is how we can optimize shareholder value for shareholders. And that’s – so it’s a mix. We think this is a great start. We think that’s now a good message and we’ll just keep after.
Adam S. Gold – Espial Capital Management LLC: Thank you.
Operator: Thank you. And at this time, I’m showing no further – actually we do have a follow-up from the line of Christopher Nolan with MLV & Co. Please go ahead.
Christopher Nolan – MLV & Company: Michael the given discount of where the stock is right now? Do you attribute that all to the correction in the values for venture equity, that’s happened over the last few months or is there something else in play here for GSVC shares?
Michael T. Moe: We’re confident when you look, when people get a appreciation, before that. I hope it gives them a lot of confidence in the way that we do things the companies that we are investing in, the people that are shrouding us. And what the long-term outlook is and they ultimately stock prices reflect confidence, and we think as people get to really see what’s under the hood, what’s going on here? Or it should be growing confidence. That’s everything we are doing is meant to provide that. We’re confident when you look, when people get a appreciation, before that. I hope it gives them a lot of confidence in the way that we do things the companies that we are investing in, the people that are shrouding us. And what the long-term outlook is and they ultimately stock prices reflect confidence, and we think as people get to really see what’s under the hood, what’s going on here? Or it should be growing confidence. That’s everything we are doing is meant to provide that.
Operator: Thank you. Ladies and gentlemen, that’s all the time we have for questions today. I would like to turn the conference back to Mr. Moe for any closing remarks at this time.
Michael T. Moe: Yes, thank you, I appreciate everybody tuning in for this call. We are feeling very good about what’s going on with the portfolio and what’s going on with our team and ability to deliver great returns for shareholders, while the stock prices where it is, we’re doing things about that. We believe to reconcile that, more confident, that if we execute on the portfolio side, the stock is going to do very, very well for our shareholders. So, with that, again thank you. We look forward to any follow-ups that people have. We hope we see you all in Silicon Valley on June 4. Thank you.
Operator: Thank you. Ladies and gentlemen, this concludes the GSV Capital’s first quarter 2014 earnings conference call. If you would like to listen to a replay of today’s conference, you can do so by dialing 303-590-3030, or 1-800-406-7325 and entering the access code of 4681236 followed by the pound sign. We thank you for your participation today. And you may now disconnect.